Operator: Good day, and thank you for standing by. Welcome to the UroGen Pharma Second Quarter 2025 Earnings Call. [Operator Instructions] Please be advised that today's conference is being recorded. I'd now like to go ahead and hand the conference over to your first speaker today, Vincent Perrone, Investor Relations. Vincent, you have the floor.
Vincent I. Perrone: Thank you, operator. Good morning, everyone, and welcome to UroGen Pharma's Second Quarter 2025 Financial Results and Business Update Conference Call. Earlier this morning, we issued a press release providing an overview of our recent corporate highlights and financial results for the quarter ended June 30, 2025. The press release can be accessed on the Investors portion of our website at investors.urogen.com. Joining me on the call today are Liz Barrett, President and Chief Executive Officer; Dr. Mark Schoenberg, Chief Medical Officer; David Lin, Chief Commercial Officer; and Chris Degnan, Chief Financial Officer. During today's call, we will be making certain forward-looking statements. These may include statements regarding our ongoing commercialization activities related to JELMYTO and ZUSDURI, our ongoing and planned clinical trials, commercial and clinical milestones, market and revenue opportunities, our commercialization strategy and expectations as well as anticipated data, regulatory filings and decisions, ZUSDURI being the primary growth driver for UroGen, the potential benefits of our products and product candidates, future R&D development efforts, our corporate goals and 2025 financial guidance, among other things. These forward-looking statements are based on current information, assumptions and expectations that are subject to change. A description of potential risks can be found in our earnings press release and latest SEC disclosure documents. You are cautioned not to place undue reliance on these forward-looking statements, and UroGen disclaims any obligation to update these statements. I'll now turn the call over to Liz.
Elizabeth A. Barrett: Thank you, Vincent. On June 12, we achieved a defining milestone for UroGen with the FDA approval of ZUSDURI for adults with recurrent low-grade intermediate risk non-muscle invasive bladder cancer. This was truly a landmark moment for our company and importantly, for the 59,000 annual patients in the U.S. who face recurrent and repeat surgeries year after year with no approved alternatives. ZUSDURI is the first and only FDA-approved pharmacologic treatment for adults with this disease and has the potential to fundamentally change the treatment paradigm and offer patients durable long-term recurrent and treatment-free living. We are proud to be leading that shift. ZUSDURI is UroGen's second commercial product and marks our transition from a rare disease-focused company to a scaled multiproduct organization. Five years ago, we launched JELMYTO for the treatment of low-grade upper tract urothelial cancer. That experience laid the foundation for everything we're doing today. With ZUSDURI, we are entering a larger but less complex market. The total available market exceeds $5 billion annually, and we are well positioned to penetrate the opportunity with our expanded sales team of 82 territories as of August 1, up from 50 previously. We have an experienced team with strong knowledge and relationships that will allow us to accelerate and guide the launch of ZUSDURI. Our commercial organization has a deep understanding of how care is delivered in neurology from academic centers to high-volume community practices. Their established relationships and field insights position us well for a strong and disciplined launch. Regarding the commercial launch of ZUSDURI, the initial focus is on setting up sites of care and driving clinical conviction. The team is focused on driving early adoption among urologists who previously prescribed JELMYTO and those willing to initiate treatment before a permanent J-code is assigned. This is a disciplined strategic launch built on learnings from our first product. As we move to 2026 with broader reimbursement anticipated, we expect our reach to expand significantly. David will provide more details on the launch in a few minutes. Turning to JELMYTO. I'm pleased to report a strong second quarter with net product revenues of $24.2 million, representing an 11% increase over the same period in 2024. JELMYTO continues to grow with strong underlying demand in the second quarter, demonstrating continued adoption and usage of this important therapy for patients. The value proposition of JELMYTO remains clear: durable responses backed by long-term data and real-world use. We are pleased with the results and acceptance received by urologists. UroGen's long-term goal is to develop and commercialize a differentiated portfolio of treatments that address meaningful unmet needs across urothelial and specialty cancers. UGN-301, our anti-CTLA4 monoclonal antibody, continues to progress in both monotherapy and combination studies for high-grade non-muscle invasive bladder cancer. Meanwhile, our next-generation pipeline is advancing. The Phase III UTOPIA trial of UGN-103 for recurrent low-grade intermediate risk non-muscle invasive bladder cancer is now fully enrolled, and we expect initial complete response data by the end of 2025. We will share this data with the FDA and gain agreement on the path forward to approval. If the trial is successful, we expect to file an NDA for this product in 2026. We've also initiated a Phase III trial in June of 2025 for UGN-104, our next-generation mitomycin- based formulation for low-grade UTUC. Our balance sheet remains strong with $161.6 million in cash, cash equivalents and marketable securities as of June 30. We believe we have the necessary capital to fund the ZUSDURI launch while supporting the advancement of our pipeline and other strategic priorities. We will be thoughtful about potential opportunities to expand our portfolio for the long term while driving commercial success and profitability goals. The team at UroGen has demonstrated their dedication and resilience while striving to make a meaningful impact for patients. To the urology community, particularly those participating in research as well as those publicly advocating support for our medicines, we could not do it without you. With 2 commercial products and advancing pipeline and the commercial infrastructure to scale, UroGen is well positioned for sustainable growth. We are executing with discipline and purpose, and we remain deeply committed to delivering meaningful innovation for patients and generating value for our shareholders. I will now turn the call over to Mark Schoenberg. Mark?
Mark P. Schoenberg: Thank you, Liz. As a practicing urologist, I've spent years managing patients with recurrent low-grade intermediate risk non-muscle invasive bladder cancer. We see the approval of ZUSDURI as a meaningful advancement in how we care for this population. And for the first time, we can offer patients and their health care providers an effective pharmacologic treatment that targets the underlying disease and offers a convenient office-based outpatient alternative to repeated surgeries. We view this as a significant shift in the standard of care. Historically, transurethral resection of bladder tumor, or TURBT, has been the only real option for patients with low-grade intermediate risk disease. TURBT is an invasive surgical procedure. It requires general anesthesia and access to an operating room, and it carries risks, especially in an older population. Patients are typically diagnosed with bladder cancer in their mid-70s, and many of these patients have comorbidities that make surgery under general anesthesia less than ideal. We also know this is a highly recurrent disease. Approximately 68% of patients experience at least 2 recurrences and 23% will have 5 or more. That means multiple surgeries under general anesthesia and an ongoing burden that takes a toll on both physical health and quality of life, not to mention the burden placed on partners, family and other caregivers. In addition, repeated TURBT procedures may be associated with an increased risk of mortality. ZUSDURI offers a new nonsurgical treatment approach. ZUSDURI is administered as an intravesical installation via urinary catheter once a week for 6 weeks in a physician's office. No operating room, no general anesthesia and minimal recovery time. In many cases, a trained nurse can perform the procedure right in the urologist's office. For patients, this means a much less disruptive experience. For medical practices, it means increased OR availability for more complex procedures and an efficient in-office option that can streamline treatment delivery. The clinical data supporting ZUSDURI are both robust and continuing to mature. In our ongoing pivotal Phase III ENVISION trial, 79% of patients achieved a complete response at 3 months following the completion of treatment. Equally important, however, is the durability of that response. In bladder cancer, long-term disease control is what truly improves outcomes and quality of life for patients. In our most recent update from ENVISION, which we shared earlier this week, we announced a 24-month duration of response of 72.2% by Kaplan-Meier estimate for patients who achieved a complete response of 3 months after the first installation of ZUSDURI. The sustained response observed offers real value to both patients and practices, allowing management of recurrence with greater confidence and extending the time between recurrences. Importantly, the median duration of response has not been reached and the event rate has not accelerated and remained steady over time. According to the published literature, the median duration of response for TURBT in this population is approximately 6 to 9 months with a substantial proportion of patients recurring within the first year. These results are further supported by the 5-year follow-up data from Phase II OPTIMA II study in both newly diagnosed and recurrent disease, which was published in the Journal of Clinical Genitourinary Cancer this past June. In that trial, of the 41 patients who achieved a complete response, the median duration of response was approximately 2 years by Kaplan-Meier estimate. Among the 17 patients who entered the 5-year extension study, the median duration of response was 3.5 years. These data contribute to the growing and consistent body of evidence demonstrating that ZUSDURI is not only effective in achieving a complete response, but also offers durable disease control over time. We are very optimistic about the emerging long-term durability profile of ZUSDURI. I'll now briefly update you on the clinical pipeline. UGN-301 is our investigational anti-CTLA4 antibody delivered via RTGel. It is currently being evaluated in the Phase I trial both as monotherapy and in combination with UGN-201, our TLR7 agonist, and with gemcitabine. We shared the latest data at the AUA meeting in April. And the safety profile continues to be favorable across both the monotherapy and combination arms. We observed clinical responses in both monotherapy and combination arms with follow-up on the combination arms ongoing to evaluate the durability of response. We expect to share updated data later this year, and we'll use those results to guide a potential decision to move into Phase II development. As Liz mentioned earlier, we're also advancing our next-generation formulations of ZUSDURI and JELMYTO. The Phase III UTOPIA trial is evaluating UGN-103, the successor to ZUSDURI, in patients with recurrent low-grade intermediate risk disease and has completed enrollment. This study is modeled closely on ENVISION. Efficacy will be measured by the complete response rate at 3 months with follow-up focused on assessing durability. We expect top line complete response data by the end of this year, and we plan to share those results with the FDA to help inform the regulatory path forward. We are also taking a similar approach with UGN-104, our next-generation formulation of JELMYTO. We recently initiated a single-arm Phase III trial and patient screening is underway. UGN-501, our recently acquired next-generation oncolytic virus candidate, is progressing through IND-enabling studies, with a Phase I trial anticipated to begin next year. I will now turn the call over to David for the commercial update.
David Lin: Thank you, Mark. As my colleagues have shared, we believe ZUSDURI represents a true shift in how recurrent low-grade intermediate risk non-muscle invasive bladder cancer is treated. Our focus now is on ensuring that all appropriate patients have access to ZUSDURI in an accelerated and successful launch. We have completed the expansion of our sales force, having increased the total number of reps from 50 to 82. With this footprint, we believe we are well positioned to reach the 8,500 health care providers who treat approximately 90% of the addressable patient population. We view the launch in 2 distinct phases. The first phase covers the period from July through the end of this year. The second begins on January 1, 2026, when we expect to receive a permanent product-specific J-code. That milestone will be an important catalyst for broadening adoption, particularly in the community setting, where reimbursement logistics play a critical role in treatment decisions. During the initial phase, our commercial priorities fall into 3 areas: engaging with health care providers, activating treatment sites and advancing market access. First, our field team is focused on building awareness, establishing clinical conviction and ensuring providers and staff are educated on how ZUSDURI will benefit appropriate patients. Even at this early stage, we are encouraged by the level of interest we're seeing. Awareness around ZUSDURI is strong and health care providers are eager to learn about the profile of ZUSDURI and engage on appropriate patient types. Customer questions focus on the clinical, operational and financial considerations to begin treating with ZUSDURI. We are initially focused on a group of roughly 2,000 physicians out of our total 8,500 target universe, whom we've identified as likely early adopters. These are physicians who have demonstrated a willingness to introduce new therapies during a miscellaneous J-code period. Our goal is to engage with the majority of accounts within the first 6 to 8 weeks of launch, and we are making strong progress toward that target. Our discussions with physicians are focused on identifying patients who stand to benefit most from treatment with ZUSDURI. This typically involves those with multiple prior recurrences and a history of repeated TURBTs, patients experiencing early recurrences after surgery and patients who may be poor surgical candidates due to comorbidities or other risk factors. The second area of focus is site activation. We are working closely with practices and hospitals to ensure operational readiness. This includes everything from distributor onboarding to clinical training and pharmacy processes. As we have noted previously, many providers prefer to initiate the use of new therapies like ZUSDURI in the hospital outpatient setting where hospital pharmacy budgets are often managed at separate cost centers. We are supporting this process, including working with P&T committees to ensure formulary placement as quickly as possible. On the market access front, our team is actively engaged with major payers nationwide. At this stage, we have secured open access for approximately 84% of covered lives. These efforts are central to the launch and reflect our commitment to ensuring patients can access ZUSDURI without unnecessary administrative or financial barriers. Looking ahead to 2026, the assignment of a permanent J-code should significantly simplify the reimbursement process. At that point, we intend to broaden our commercial focus to include a broader segment of the urology market, including many more community- based practices. Turning to JELMYTO. We continue to drive strong year-over-year unit growth, which reflects growing comfort and conviction among urologists. We see steady growth in both the number of sites of care and the number of new prescribers, and we are encouraged by the positive trends in patient identification. The message around durability of response remains central and continues to resonate, and our team is maintaining high-frequency engagement with top-performing accounts to sustain momentum and drive further growth. I will now turn the call over to Chris Degnan for a financial update.
Christopher Degnan: Thank you, David. As Liz mentioned earlier, JELMYTO net product revenues were $24.2 million for the 3 months ended June 30, 2025, compared with $21.8 million in the same period in 2024. Year-over-year revenue growth of 11% was driven by underlying demand growth of 7% and price favorability as the gross to net rate for JELMYTO has stabilized in recent quarters. R&D expenses for the second quarter of 2025 were $18.9 million, including noncash share-based compensation expense of $0.4 million. This compares to $15.4 million, including noncash share-based compensation expense of $0.6 million for the same period in 2024. The increase in R&D expenses of $3.5 million was primarily driven by higher manufacturing costs for ZUSDURI and costs associated with the Phase III UTOPIA trial for UGN-103, partially offset by lower clinical trial costs and regulatory expenses in connection with ZUSDURI. Selling, general and administrative expenses for the second quarter of 2025 were $43.2 million, including noncash share-based compensation expense of $2.3 million. This compares to $30.1 million, including noncash share-based compensation expense of $3 million for the same period in 2024. The year-over-year increase of $13.1 million was primarily driven by ZUSDURI commercial preparation activities as well as an increase in overall commercial costs. We reported noncash financing expense related to the prepaid forward obligation to RTW Investments of $4.6 million in the second quarter of 2025 compared to $5.8 million in the same period in 2024. Interest expense related to the term loan facility with funds managed by Pharmakon Advisors was $4.1 million in the second quarter of 2025 compared to $3.5 million in the same period in 2024. The increase was primarily driven by interest expense related to the third tranche of the loan that was funded in September 2024. We do not intend to draw down the fourth and final tranche of $75 million that is available to us at our discretion until August 29, 2025. Net loss was $49.9 million or $1.05 per basic and diluted share in the second quarter of 2025 compared to a net loss of $33.4 million or $0.82 per basic and diluted share in the same period in 2024. As of June 30, 2025, cash, cash equivalents and marketable securities totaled $161.6 million. Turning now to guidance. Our full year guidance for JELMYTO remains unchanged. We continue to expect full year 2025 net product revenues from JELMYTO to be in the range of $94 million to $98 million, and this implies year-over-year growth of approximately 8% to 12% over the $87.4 million in demand-driven JELMYTO sales in 2024. This excludes the $3 million in CREATES Act sales reported in 2024. Guidance on full year 2025 operating expenses is also unchanged and is expected to be in the range of $215 million to $225 million, including noncash share-based compensation expense of $11 million to $14 million. We anticipate operating expenses to decrease modestly over the remainder of the year, reflecting the impact of several nonrecurring costs incurred during the first half of 2025, partially offset by the sales force expansion in the second half of the year. These nonrecurring costs totaled approximately $15 million and included expenses related to the acquisition of UGN-501, preparations for the ZUSDURI ODAC, our national launch meeting for ZUSDURI and manufacturing expenses for ZUSDURI, which were accounted for as R&D expense prior to FDA approval. That concludes our prepared remarks. We are now ready to open the call for questions. Operator?
Operator: [Operator Instructions] Our first question comes from Tara Bancroft with TD Cowen.
Tara A. Bancroft: So I have to ask the obligatory first question on all of our minds. Is there anything that you can offer on metrics you've hit so far for July, like, I mean, script rate, number of active accounts or prescribers that you have, or really anything qualitative, like the perceived level of pent-up demand from those who were maybe waiting to get a TURBT to instead receive ZUSDURI, if any, things like that?
Elizabeth A. Barrett: Yes. A great question, Tara. It's Liz. And I'm going to ask David to comment, and then I'll probably add some color as well. So David?
David Lin: Yes. Thanks for the question. We're really excited by the positive receptivity of not only the health care providers that we have engaged, but also the payer community. As we heard prior to launch, they're very eager for a new treatment option, and they took on the ZUSDURI product profile with great enthusiasm. So we are very pleased with how we've heard about it. In the stage of the launch, as we said, we're really actively engaging physicians. We're helping them identify sites of care. And importantly, we're also continuing to make sure that market access -- we laid the groundwork for market access so that all the patients have access to the product per label. So anyway, thank you for the question, and we'll be looking forward to sharing more results in the future.
Elizabeth A. Barrett: Yes. Tara, look, I'll give you a little bit more color on that. One, we're not going to give metrics at this point. I'm sure everybody would love to have them, but it's still very early for us. What I will tell you is that we've all been spending a lot of time out in the field and talking to doctors. And to David's point, there's a lot of excitement. And what you hear from doctors is they all have patients. And I want to sort of put a note on patients, because when we launched JELMYTO, it's like I have a patient. And when we talk to doctors today, they have several patients. The biggest hurdle, frankly, is reimbursement, which we knew that. I can tell you that I went to an event last week with a lot of community practices and doctors and the first thing they say is, as soon as you get a permanent J-code -- soon as you get a permanent J-code, I've got patients waiting. We don't and we've always said there would not be a bolus of patients. But again, what I can tell you is that our PEFs are coming in, patient enrollment forms. So the top of the funnel, we're very happy with where we're going there. And the team, as David said, is working on the sites of care, pulling those through and dosing -- really getting patients dosed. So I would say at this point, we're very optimistic. We feel really good about where we are. We think the consensus, as we said for the year, we are still aligned with that and have the opportunity to see some real uptake over the next few months. I do think David commented this in the prepared remarks that you will see an acceleration after the first of the year when we have the J-code. But we have hospitals, we have institutions and we've got some large practices that are all willing to write. So it's not like no one is willing to take -- to do it during the miscellaneous code. But you do see a big difference in sort of attitude kind of before and after. But the good news is, is that all of the metrics, the feedback we're getting –- I have not talked to one doctor who said, no, I don't see a role for this. And none of them, frankly, that say they're going to really limit it. So again, a lot of excitement around using this in multiple patients in their practice. So hopefully, that extra color helps without giving very specific numbers for you. But David also mentioned sites of care. We have set up a lot of sites of care, and we're on track with where we need to be in the number of sites of care that we already have set up so far to deliver what we've stated we would deliver for the year. So hopefully, that helps.
Operator: Our next question comes from Michael Schmidt with Guggenheim.
Michael Werner Schmidt: Perhaps a follow-up just on the early launch. Yes, we've certainly had some very positive feedback from urologists as well that we spoke with in terms of intent to prescribe the therapy. But just curious what you're seeing so far around the reimbursement process early on using the miscellaneous codes. Just curious if you could comment perhaps how much time it takes in terms of intent to prescribe until sort of conversion to paid prescription? Or anything along those lines would be helpful. And then I had a follow-up.
Elizabeth A. Barrett: Yes, sure. Go ahead, David.
David Lin: Yes. I'll just comment on the initial process in terms of educating accounts. So as we discussed in our prepared remarks, we are really focused on a group of around 2,000 providers that have demonstrated a willingness to adopt product during this particular period. And so that's pretty much what we're seeing in terms of interest right there. One of the things we do, which is very similar to what we did with JELMYTO at that launch, is we spend a good amount of time educating them on the actual process for claims and billing and then reimbursement. So we educate them fully on that. So it's white glove service. And with that, they have the reassurance of knowing they've -- when they enroll a patient, they know what that patient's co-pay is going to be, they know what the coverage is going to be, and the office feels more reaffirmed in terms of how that process is going to work. As you know, with the miscellaneous J-code period, it is a little bit of a different process because it's manual. But what we're seeing so far is that when we engage the practices, they feel assured that what they're doing is setting them up for a positive experience.
Elizabeth A. Barrett: But too early to give -- too early -- so we haven't had any "paid claims yet." So it's too early to sort of say how long is it going to take. As we start to see that coming through, we'll be able to give you more color on that. But it's too early to see that.
Michael Werner Schmidt: Right. And then I guess if you were to compare the initial experience of the ZUSDURI launch to your experience with JELMYTO 5 years ago, I guess, how much commercial synergies are there in place today given your commercial footprint around the JELMYTO product? And any key learnings that -- as you launch ZUSDURI essentially into a very similar market here?
Elizabeth A. Barrett: Yes. Since Mark and I were the only 2 people here when we launched JELMYTO, I'll give you some comment and ask Mark to add anything. I think the –- it's similar in a lot of ways in the sense of what you have to deal with, with the J-code, what you have to deal with reimbursement, what you have to deal with identifying patients, and what you have to deal with, frankly, for an office to get set up, set up with the distributor. The good news is, obviously, a lot of these offices are already set up. So all we have to do is add in ZUSDURI where they already were. So there is a little bit of paperwork that happens there. Absolutely, some of the first physicians that we see that are writing for ZUSDURI are writers of JELMYTO, which makes a lot of sense. And I think the -- what we also are seeing is that for the most part, people were really happy with the support that we gave them with JELMYTO and are happy with the support that they're getting. Again, the physicians that I've personally interacted with have commented about particularly our reimbursement team because that's the #1 thing right now and how good they are, how knowledgeable they are, how helpful they are. And then I'm going to let Mark talk about the numbers because I think that's a big, big difference between what you -- what we heard when we launched JELMYTO versus what we're hearing now. So Mark?
Mark P. Schoenberg: Yes. Thanks, Liz. So it's, I think, obvious to many on the call that we're dealing with a completely different demographic, so to speak, a demographic opportunity. Upper tract urothelial carcinoma, the target of JELMYTO use, is a very small population of patients. And on average, most practicing urologists will see 1 or 2 patients a year. So it's hard to find the patients and it's hard to find individuals to treat with JELMYTO, which I think explains a lot of the experience of why the JELMYTO ramp has been what it has been. That's very different than what we're dealing with, with the ZUSDURI launch. There are lots of patients who qualify by the label alone for the use of this drug, and physicians are exceedingly familiar with this population of patients. These are people we're seeing in the office on a very regular basis. So I do think although -- as Liz pointed out, many of the sort of mechanical issues related to bringing the drug into the practice are similar and will be familiar to people who have used JELMYTO. The opportunity, the ease of administration, the fact that this can be given in an office with essentially minimal physician involvement, this can be given by a nurse will really change the way the ZUSDURI experience looks compared to our experience previously with the JELMYTO launch.
Michael Werner Schmidt: Let's just squeeze one more in, and this one is on UGN-103. And so now with the UTOPIA study fully enrolled, I was just curious if you had the chance to have any additional discussions with the regulators in terms of -- sort of coming off of the panel earlier this year in terms of whether the study is, in fact, supportive of potential approval? And from a clinical perspective, is the goal to essentially reproduce the ENVISION data? Or is there opportunity to differentiate clinically with 103?
Elizabeth A. Barrett: Yes. No, a great question. We have not interacted. It's -- we don't have enough data yet. So we're waiting on additional data before we interact with the FDA. But we will absolutely do that and have feedback for you prior to the end of this year. So I think that's the timing on that. The goal is to replicate. And we actually purposely did that because what we didn't want to do is introduce any potential issues, right, that would muddy the waters as far as the data is concerned. So we tried to replicate almost exactly the ENVISION study. So there -- unfortunately, there's no differentiation. But fortunately, what we're doing is trying not to introduce any biases. Our expectation is that the FDA will accept the study as they had previously communicated, mainly because this is a new formulation. And they actually have UGN-102, ZUSDURI, as a historical control now. So we do plan to interact again with them. We'll have feedback for you before the end of the year. But that's our expectation and that's what we're moving forward with. Having said that, we and ourselves want to continue to expand the use of UGN-103. So we are in the planning of additional life cycle management studies that we will start fairly quickly on UGN-103 regardless of the FDA feedback. But we have other studies that we want to do in other populations, and we'll be starting those as quickly as possible.
Operator: Our next question comes from Leland Gershell with Oppenheimer.
Leland James Gershell: A few from us. With respect to the first phase of the launch pre the J-code assignment, I'm wondering, as you're going after those 2,000 docs you've identified as early adopters, can you share what -- how those break down with respect to community versus academic docs? Should we think of the academic -- those who practice in an academic setting as maybe having easier access to the medication? Is the miscellaneous J-code easier in the hospital setting or through that process? Is there a P&T committee dynamic that we should consider for ZUSDURI in the hospital setting? If you could share, yes, any color around that as we think about 2025 sales before the J-code kicks in.
Elizabeth A. Barrett: Yes, absolutely. David?
David Lin: Yes. The majority of that 2,000 physician, I'll say, early adopter list that we've identified reside in the community, and there are some in institutional settings. And as you know, some have privileges in hospitals as well. So when we think about them gaining access to ZUSDURI, it is -- there's a spectrum. In private practice, as we've mentioned, there's historically some hesitation there. And so what we try to do is help them identify a site of care where they can administer ZUSDURI for the first time and gain experience. And that often is in a hospital outpatient setting. If it is a specific hospital account, I think that process varies. But generally speaking, you'll see that they have formal P&T reviews. And so one of the things we did immediately upon launch was engaged major accounts so that we could begin working with them to provide the clinical, the operational and financial information to support a successful P&T review.
Leland James Gershell: Okay. Great. And then just another question with respect to the UTOPIA trial. Do you think the FDA would ask for longer durability data or anything that may be incremental to what was shown with ENVISION? Or do you think it truly would be kind of a replicate of the ENVISION data set that could get 103 approved?
Mark P. Schoenberg: Yes, we are expecting it to be similar to what we presented for ENVISION. We're going to talk to the FDA about their expectations. But our expectation is that it would be -- it would mirror similar types of requirements as ENVISION, namely concentrating on CR with some reasonable amount of durability data. And that would obviously be something that we have to talk to the agency about.
Operator: Our next question comes from Raghuram Selvaraju with H.C. Wainwright & Company.
Raghuram Selvaraju: Congratulations on all the progress so far. I wanted to ask, first of all, about clarification of a couple of commercial things. Firstly, you alluded to once the formal J-code designation is complete at the beginning of next year that there would be outreach facilitated by this to a broader group of prescribers. Can you maybe quantify for us how many more prescribers are likely to be targetable beyond the initial 2,000? And then also, I wanted to ask if you are seeing any evidence that the commercial availability of ZUSDURI and the increased visibility of the company overall is having any potential beneficial spillover effects on JELMYTO itself? And if you're seeing any noteworthy reacceleration of momentum in JELMYTO because ZUSDURI is now available?
Elizabeth A. Barrett: Yes. David?
David Lin: So on your question around how we're going to engage the total universe. So as we said, we are focused on the 2,000 that we think are very important to the early stages of a launch. It doesn't mean that we won't see others in the universe if they're in the same office. But broadly speaking, as we turn the corner into 2026, we will expand our efforts beyond that 2,000 and we'll begin very rapidly then expanding our reach to a greater number of them. So I would say by the middle of next year, we're going to see -- we're going to be broadly engaging everyone in that total universe. And keep in mind that universe also includes -- in each office, there's physician assistants, there's nurses. So our efforts go well beyond just the HCP. With regard to your question on JELMYTO, it's too early to say that. But what I can tell you what we've observed so far is that, as Liz mentioned, those who have used JELMYTO definitely understand the technology behind ZUSDURI. And what I would say, as we move forward in time, as we penetrate the overall market for low-grade intermediate risk non-muscle invasive bladder cancer and ZUSDURI, we will see that, that increased reach and frequency through the universe will support the continued steady growth of JELMYTO.
Raghuram Selvaraju: Great. And then just one follow-up with respect to UGN-103. I was wondering if at this juncture, you have any reason to believe that because of the characteristics of the new formulation, 103 might have advantages in safety, tolerability or ease of administration relative to ZUSDURI itself?
Mark P. Schoenberg: The answer is we don't, and we didn't expect any real changes. For the audience, just to remind you, the principal issues related to this formulation relate to solubility, ease of reconstitution related to a change in the excipients of the preparation. But we don't expect a change in terms of the clinical profile, and it's premature for us to talk further about that, and we will be happy to share those data when we have them later in the year.
Operator: [Operator Instructions] Our next question comes from Paul Choi with Goldman Sachs.
Paul Choi: I also want to follow up on UTOPIA and maybe ask, is there anything in terms of either the data or product profile that you might call out that would allow you to address additional segments of the low-grade intermediate risk population that you feel like you can't currently tap with ZUSDURI? And just sort of would there be any sort of incremental subset of patients that might be better candidates for that product? And my second question on ZUSDURI is just, I guess, as you think about sort of the product procedural flow in doctors' offices, can you maybe just comment on how you're thinking about nonphysicians such as licensed nurses practitioners as a percentage of the mix? And are there other requirements for non-urologists to use the product?
Elizabeth A. Barrett: Go ahead, Mark. Do you want to answer the UTOPIA question? Are there any...
Mark P. Schoenberg: Yes, sure. So the answer to the first question is no. As Liz mentioned, we are really formatting the evaluation of 103 in the UTOPIA trial in exactly the same manner as we did ZUSDURI and ENVISION. So it would be applicable to the same population of patients, and we wouldn't expect a change in terms of the target population it would be used in initially. What you're anticipating, I think, in your question is the possibility of us doing additional clinical trials, which is something we have to talk about and think about and Liz will ultimately make a decision about. But currently, the plan is for the same group of patients with that drug when it becomes available and is approved.
Elizabeth A. Barrett: Yes. But as I mentioned earlier, we absolutely expect to expand UGN-103 into other patient populations, but not because it's different than ZUSDURI, right, from a clinical perspective, but just because we would be doing that with UGN-102. So it makes more sense for us to be doing that with UGN-103, assuming the data is very similar as we start to -- as the data starts to play out. But that's our expectation. So we will expand absolutely into other patient populations, but not really driven by any differences we see. David, you want to answer the question around ZUSDURI?
David Lin: Yes. So on the question of ZUSDURI and actually who might be administering this in the office, what we're hearing early on is that, obviously, the physician will want to be understanding the entire process, the ordering all the way through administration. But we do expect and we've heard this consistently that as practices get more experience, that it will really fall on the shoulders of someone specifically who does intravesical therapies, likely a nurse. And so that's pretty much what we're hearing right now, consistent with what we learned before launch.
Elizabeth A. Barrett: And we are engaging all people in the practice, right, everybody from physicians to your PAs to your -- the reimbursement team. So from that perspective, included in the 8,500 targets are other targets outside of physicians. So we'll continue to do that. This is a full –- a comprehensive account sell. It needs to be. But in the beginning, clearly, the physicians' conviction around wanting to use it is going to drive the early adoption.
Operator: Our next question comes from Aydin Huseynov with Ladenburg.
Aydin Huseynov: Congrats on the quarter. A good couple of questions I want to ask. So first, I wanted to ask that if there were not questions about permanent J-code, if we didn't have issues with J-code this year, permanent J-code this year, how many patients do you think it would be possible for you to dose in 2025? So the reason I'm asking because ENVISION trial enrolled very quickly, I think, 220 patients, 10 months across 90 sites. I was trying to understand if we did not have reimbursement issues at this point, so how many patients would it be possible to dose in 2025?
Elizabeth A. Barrett: Yes. Look, that's a great question, not one that we're going to speculate on. But suffice to say that absolutely it's a significant number of patients. As I mentioned earlier, the #1 barrier right now is reimbursement. It's not around the desire for clinical use. And that's a good thing. That's a really good thing. I mean, rarely do you roll out where there's not question -- more questions around the clinical data, the clinical use, the patient identification, and we're not hearing that. The only -- again, in all the conversations I've had, it's only been around reimbursement. So that's actually a good thing, because we can solve that, right? It takes time to solve that. But once we start getting explanation of benefits, EOVs out there, once they start to see what we're hearing from a lot of the practices, is, okay, I'll try it on one patient. They typically want it to be a Medicare fee-for-service patient, because that's kind of the one that they feel most confident about. And then once they get that experience and see a positive reimbursement, then they're more willing to expand beyond to other patients. But I think, again, without speculating on the number, it would be significantly more. There's no doubt about it. And I think the good news is when you're out there talking to doctors, that's the question. It's really around reimbursement and not around the clinical usage or utility or need for this drug. And I think that's a very good place for us to be.
Aydin Huseynov: When do you think you'd be able to provide short-term and long-term guidance for ZUSDURI? And just trying to -- I know that we're talking about the story being overall targeting $5 billion market, but we're also trying to understand what would be the peak sales. Just wanted to understand the level of comfort to provide a both short-term and long-term guidance for the drug.
Christopher Degnan: Yes. Aydin, this is Chris. I mean I think we've been pretty clear in terms of peak potential. We view ZUSDURI as over $1 billion opportunity by itself. In terms of providing more short-term guidance, I think we'll get through the early initial launch phase this year and look to potentially provide guidance for 2026.
Operator: This concludes the question-and-answer session. I would now like to turn it back to Liz Barrett for closing remarks.
Elizabeth A. Barrett: Yes. I just want to take an opportunity to say thank you to everybody. Thanks for hanging in there with us over the years. It's an exciting time for us. We're still in the early days, but things are looking great and we're very excited about kind of where we are and where we head to be. And we'll keep you guys posted as things play out. So thanks a lot. We appreciate it. Operator, you can disconnect at this moment. Thank you.
Operator: Thank you for your participation in today's conference. This does conclude the program. You may now disconnect.